Operator: Good afternoon. My name is Hannah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Digital Media Solutions First Quarter Financial Results 2023 Conference Call. [Operator Instructions]. Now I would like to pass the call over to Tony Saldana, DMS General Counsel.
Tony Saldana: Thank you for joining us to discuss financial results for DMS for the first quarter of 2023. With me on the call are Joe Marinucci, Co-Founder and CEO; and Vanessa Guzman-Clark, our Interim CFO. Early this afternoon, we posted our earnings announcement in the press release on our Investor Relations website. By now, everyone should have access. Before we begin, I would like to call your attention to our safe harbor provision for forward-looking statements in our financial results press release. The safe harbor provision identifies risk factors that may cause actual results to differ materially from the contents of our forward-looking statements. For a more detailed description of the risk factors that may affect our results, please refer to our financial results press release and our SEC filings.  In addition, management's commentary will include non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures can be found in the tables of our financial results press release, which we have posted to our Investor Relations website at investors.digitalmediasolutions.com. The additional financial and other information to be discussed on this call can also be found on our Investor Relations website.  Now I'd like to turn the call over to Joe Marinucci, our CEO.
Joe Marinucci: Thank you, Tony, and good afternoon, everyone. Welcome to our first quarter of 2023 earnings call. Our first quarter results are as follows.  Our first quarter net revenue was $90.3 million, which while down 17.2% year-over-year was within our guidance of $90 million to $92 million. Our gross margin and variable marketing margin came in at 24.7% and 29.8%, respectively. Adjusted EBITDA came in at $3.4 million, or a margin of approximately 4%. Also within our guidance. Vanessa will add more details, dig deeper into the numbers and go over our guidance for the second quarter of 2023 later in this call.  We kicked off 2023 with a modestly positive first quarter, which highlighted the effectiveness of our diversified strategy across multiple verticals within DMS. In Q1, we carried out a strategic reorganization of our business and a thoughtful reduction in our workforce, a move that considerably cut our operating costs. The goal here was clear and simple, to focus more intently on the key solutions that are poised to drive our long term growth.  Stepping into Q2, our momentum has slowed as the positive trends from Q1 have reversed inside of our largest vertical insurance. Typically, our Q2 is cyclically impacted, as health insurance demand slows, and we tend to see trough level performance for the year in this period. We're now seeing this coupled with unprecedented pressure in the auto insurance vertical, which has led to additional significant pullback and client marketing spent.  That said, we remain optimistic as we anticipate the P&C Insurance markets will normalize when loss ratio is correct. And in health insurance, we are now outside of enrollment period windows when marketing spend would be higher. When those enrollment periods open again later this year in Q3 and Q4, we expect to regain momentum in this vertical.  Despite these temporary fluctuations, we also maintain a positive long term outlook, as our diversified approach gives us the agility to swiftly adjust to market trends that result in shifts in ad spend. This is true for both our brand direct and marketplace solutions and is visible in our verticals as well. As reminder those verticals are property and casualty insurance, health insurance, career and education, ecommerce, consumer finance and home services, which we added with the recent acquisition.  As we've discussed in the past, we monitor both our enterprise customers and our SMBs which include the insurance agents we serve. For Q1 exclusive of our recent acquisition, we closed with a significant enterprise customer count of 291, up from 285 last quarter. For Q1 ARPU for significant enterprise customer was $1.3 million flat from last quarter. For Q1 SMBs on the DMS platform totaled 6,477 active insurance agents down from 7,712 agents in Q4 2022. The reduction in active SMBs in the quarter is tied to volatility insurance in various state pauses at the carrier level, we expect our SMB count to recover once stability returns to insurance.  The breakout by vertical revenue for Q1 is as follows: property and casualty insurance $38 million in Q1 revenue, which was 39% of total revenue for the quarter. Ecommerce, $18 million in Q1 revenue, which was 19% of total revenue for the quarter. Career and Education, $50 million in Q1 revenue, which was 16% of total revenue for the quarter, and consumer finance $18 million in Q1 revenue, which was 19% of total revenue for the quarter. The comment further on property and casualty insurance is our largest vertical, although down significantly, quarter on quarter performance was mostly in line with our expectations for what we expected in the vertical in Q1.  However, with pressure continuing to mount and the negative trend we see here in Q2, the floor is once again moved and the stability we thought was settling in appears to have faded. This continues to pressure our business here in Q2. The volatility of this underwriting cycle has been extraordinary. At some point, this shall pass as inflation subsides and rate increases cycle through. With consumers continuing the price shot, we do continue to believe that property and casualty carriers will eventually aggressively return to growth mode, once loss ratio is normalized and underwriting stability is restored. Outside of property and casualty, diversity in our customer mix and our verticals is what continues to differentiate DMS. With the recent acquisition, we've added another vertical marketplace solution in home services, and we expanded our Brand Direct Business internationally.  During the quarter, we saw positive trends in both Ecommerce and Consumer Finance with both verticals showing quarter-on-quarter growth of 14% and 43% respectively. These are areas we're going to continue to focus on.  I'd also like to reinforce that we're continuing to invest in our technology data and media capabilities which empower us to innovate and create solutions that provide value for consumers and advertisers alike. In Q2 2023, we plan to continue to focus on developing these vertical agnostic data-first solutions, which power growth across our customers in a multitude of verticals and our brand direct and marketplace segments. And again, we believe that digital performance marketing, which is the primary DMS solution will win as it is a pure play for ROI performance, thus derisking customer ad spend. As noted during last quarters call and as noted earlier in this call, we closed the acquisition of ClickDealer and HomeQuote at the end of Q1. Moving into q2, we've seen stability in both the Home Services vertical in the international markets we now cater to. Although we're in the early stages, we feel this stability demonstrates the likelihood of positive progress and growth and both of these areas.  To summarize, for our go forward 2023 plan, we will drive business growth through the following strategies. Expanding the number of existing significant enterprise customers along with average spend per customer helping our clients acquire, grow and retain their customers. Continuing to add SMBs to our platform, investing in our technology data and media capabilities, managing costs. And finally focusing on the integration of the recently closed ClickDealer acquisition to further diversify our customer base and vertical serve while strengthening our Brand Directed marketplace solutions.  Now I have the pleasure of turning the call over to Vanessa, who provide more details on our financial results.
Vanessa Guzman-Clark: Thanks, Joe. And good afternoon, everyone. I'll begin by discussing our financial results for the first quarter and conclude with our guidance for the second quarter. All comparisons are on a year-over-year basis unless otherwise noted.  Net revenue was $90.3 million while down 17.2% year-over-year, it was within guidance. Insurance accounted for approximately 39% of our total revenue in Q1 which was down 49%. The breakdown of the insurance business was as follows: auto contributed 66% of total insurance, while health was 23% followed by life at 6% and home at 5%. The decline in revenue reflect the impact of lower carrier demand, while this industry restabilizes.  DMS continues to be a diversified digital performance advertising business. Career and Education, which was approximately 16% of our total revenue in Q1 was down 2%. Ecommerce represented 19% of our total revenue and was up 14%. Consumer Finance accounted for 19% of our total revenue and was up 43%. Gross profit was $22 million for Q1, equating to a 25% margin versus a 29% margin in Q1 2022. The margin percentage decline was driven by continued margin compression within the insurance across both auto and health. Variable marketing margin was 29.8%, compared to 35% in Q1 2022.  Moving now, to our segment results, which include intercompany revenue. Q1 2023 Brand Direct Solutions gross margin was 22.7% compared to 20.9% in Q1 2022. Q1 2023 Marketplace Solutions gross margin was 21.3% compared to 27.9% in Q1 2022. And Q1 2023 Technology Solutions, Q1 gross margin was 74.2% compared to 88.6% in Q1 2022.  Looking at operating expenses, we continue to focus on driving efficiency in our business for consolidation and reduction of operating expenses. During Q1 operating expenses was $32.5 million down $2 million when compared to the first quarter in the prior year. This is the result of our continued focus on cost reduction and business optimization.  Now on to business profitability, our adjusted EBITDA for the quarter was $3.4 million, generating a margin of 4%. Down $7.1 million driven primarily by lower revenue and margin compression and offset by $1.9 million of lower operating expenses. Our net loss was $20.7 million versus net loss of $5.4 million for the same quarter. Driven by warrants expense as a result of share price volatility, interest expense, resulting from the impact of rising interest rates and costs related to the acquisition of ClickDealer and HomeQuote.  Shifting our focus to the balance sheet and liquidity. We ended the quarter with $20.1 million in cash and cash equivalents, which was down approximately $1.6 million compared to the same quarter last year. As a reminder, with this close and fund the most recent acquisition, we cash from our balance sheet on March 30 2023.  At quarter end, our total debt was $256.6 million and we have $10 million of our revolving facility remaining undrawn. Our credit facility includes a debt-to-EBITDA covenant requirement of 4.5 times. As of March 31, our net leverage was 4.46 times debt-to-EBITDA. We believe we have sufficient sources of liquidity and remain mindful of our obligations, given current economic volatility.  Turning over to our outlook. For Q2, we now expect net revenue in the range of $90 to $93 million and adjusted EBITDA of $3 million to $6 million. This updated guidance reflects the previously mentioned pullback in marketing spend, cost reduction and the most recent acquisition performance. Our guidance range for gross margin is 23% to 26% and variable marketing margin range is 29% to 34% for Q2.  When we come back in August for a Q2 2023 earnings, we will provide Q3 guidance, growth drivers across DMS and our recently completed acquisition, and the positive impact of our previously announced restructuring plan.  In summary, as Joe noted, we remain heads down and focus on our strategic growth initiatives. These are items we believe we can control. And we are pleased with the progress we are making, along with the associated positive trends. Still, we believe we will continue to face headwinds in the coming quarters with an unsettled insurance market and further shifts in consumer behavior. Despite these headwinds, we are confident, we have the right people, processes and technology in place to be agile and successfully navigate our company for these volatile times and execute our growth initiatives.  With that, we thank you for your interest in DMS. And I'll turn the call over to the operator for Q&A.
Q - David Marsh : Thanks for taking questions. So first, did I miss something with regard to Rick Rodick? I didn't see any type of an announcement.
Joe Marinucci: Hey, David, good afternoon. This is Joe speaking, good to have you on the call. Rick retired in the beginning of Q2 and there was a filing for that, but there was not an announcement.
David Marsh: Okay, got it. And then, I guess, next, the expense side came in a little bit higher than expected here. Were there some one timers in the cash operating expenses in particular G&A that might fall out going forward?
Vanessa Guzman-Clark: That's a great question. We do have some costs associated with the recent reduction in our workforce, which a one-time assumption. They are part of our Q1 and you'll see the savings from those.
David Marsh: Okay. Can you quantify that in the quarter that impact in the quarter?
Vanessa Guzman-Clark: Yes. It's approximately about $400,000. 
David Marsh: About $400,000. Okay. And then just kind of turn into the top line. Can you just -- it sounds like things continue to be a bit challenging. I mean, what needs to happen here to turn the corner and kind of get revenues back into a growth trajectory?
Joe Marinucci: Hey, Dave, this is Joe speaking again. Good question. So if you think through the go forward plan and the objectives, so just focusing on significant enterprise customers and vertical diversity, that's going to be critical here. If you look at Ecommerce and Consumer Finance, we saw growth in both of those segments in the Q1 period, whereas insurance was down significantly and continues to be pressured.  So if you think through the back half of the year, we've got the Ecommerce holiday shopping season that will come in the Q4 period. And now we get the benefit of not only a domestic Ecommerce holiday shopping season, but also an international holiday Ecommerce shopping period. So just focusing in key areas of the business where there is growth.  And then beyond that, looking at insurance, I know recoveries extremely hard this year. And the outlook is not great right now. However, I guess the one positive that we can point to is that consumers are continuing to price shop as rate increases pull through. And I think it's generally true of all carriers that they have pricing increases approved in at least some of the states and they're waiting for behind that consumer’s renewal cycles to pull through and when that starts happening and they get the benefit of their increased pricing at when those renewals pull through there will be some recovery. And it's taken quite some time for those the state-by-state increases to pull through, we should see some of that in Q3.  So hard to bet on an insurance recovery. So for the time being, we're focused on areas of the business where there is growth, we do have open enrollment periods later in the year and health insurance. Historically, Q2 is going to be cyclically, or down period or trough level performance, and then up from here through the end of the year.
David Marsh: Got it. Thank you. Let me let me pause and let some other people get some questions in. 
Operator: Our next question is from Marvin Fong with BTIG. You may proceed.
Marvin Fong : Good evening, thanks for taking my questions. I guess maybe just to start off, it sounded like the captive agent countless down and I can appreciate the headwinds that might be causing that. I am just curious, you know, I mean, how historically or what are your expectations for how this group will recover once the insurance carriers sort of get pricing back, the snap back to be as quick as the king down or it should be a little more gradual? Than I have a follow up.
Joe Marinucci: Hey, Marvin. Good afternoon, it's Joe speaking good to have you. So just to clarify, the question is specific to the insurance agents to the S&P, is that correct?
Marvin Fong: Yes. 
Joe Marinucci: So, what we've seen here, and this is specific to Q1, and the way that we measure this, we're basically looking at spending in the quarter. So this doesn't go back for a full year. This is just a recent trend here in 2023. So there's been some changes with the carriers on subsidy and subsidy goes directly to those independent captive agents. And as subsidy moves as a result of market fluctuations and decisioning at the carrier level, the agents spend will move.  And we've seen periods in time where they go dormant for a quarter for potentially two quarters, and then they come back on. We have an experienced and seasoned team that manages our relationships with the agents, those relationships are still open.  So as we see, recovery come through, as I just mentioned, with David, different carriers getting increases through on the different state levels. As those renewals pull through, we expect those agents to reactivate quite quickly here. So although it's down for the first time, since we've been recording this, it's something that can recover quite quickly. And you could see significant movement, as you just saw down, you can see significant movement up in a quarter.
Marvin Fong: Okay, great. Thanks for that. And then my last question just, you alluded on the in the script to, additional liquidity should you guys acquire it? Just could you elaborate on potentially the additional sources of liquidity, you might you're considering, is another equity here, or potential solution within the next 12 months? Or how would you characterize your liquidity outlook?
Vanessa Guzman-Clark: That's a great question. Thank you. Our credit facility debt-to-EBITDA requirement is 4.5. We are expected to be in compliance. We are in compliance for Q1, and we are expected to be in compliance in the foreseeable future with it. At this point, we have approximately 10 million left in our loop over that we can draw upon and we close Q1 with a cash balance of $20 million. So we do have enough resources in terms of liquidity at this time.
Marvin Fong: And if I could sneak in one more. Could you speak to the revenue contribution of HomeQuote you're expecting in the second quarter just so we can have an idea of the organic growth of the year guarantee? Thanks. 
Joe Marinucci: Hi, Marvin its Joe again. So we haven't carved that out yet because we just acquired it. But we're not reporting on HomeServices as a segment or guiding HomeServices as a segment. It's what I meant. Will report on it as a segment when we come back to track the quarter but we have not gotten it yet. So you'll get a look back on it and then it'll be included in our guide going forward as it has been. 
Marvin Fong: Got you. Okay, that sounds good. Thanks, Joe. 
Joe Marinucci: Thank you, Marvin.
Operator: The next question is from Maria Ripps with Canaccord. You may proceed.
Maria Ripps : Good afternoon, and thanks for taking my questions. First, can you maybe talk about some of the dynamics that impacted your Q2 outlook versus your prior guide? Is it largely related to the P&C vertical? Or did you outlook for other verticals, and perhaps, maybe expected contribution from the recent acquisition changed as well, since you sort of shared your initial outlook?
Joe Marinucci: Hi, Maria. Good afternoon, Joe speaking. So the majority of the impact, not all the impacts would sit inside of insurance, and that would be property and casualty and also health insurance. So we'll break it into two. So as we close Q1 and moved into Q2, there was significant changes in the carrier landscape. Carriers closing states to paid marketing, we had a significant carrier close a significant amount of states to paid marketing, there was also a budget capping there. And the reason for that is, which I'm sure you're aware of this.  New customers generally have higher loss ratios than renewal customers. So carriers are looking at, effectively the value of the renewal customers in the portfolio and not allocating paid marketing dollars to new customers, especially in states where rate increases having gone through. So we did not anticipate that at the end of Q1 and occurred pretty early in Q2.  And then in health insurance, we're into period, a lockup period, there's no enrollment period open right now, in either over 65, or under 69, and lockup periods, and has been very volatile in terms of where it actually comes in. So I think, with health insurance, it's not so much that we don't expect to see the spend, it's more so that we see cyclical shift in the spend into the latter part of the year, specifically, when the enrollment periods open in October.  So between now and then, although in Q3 ahead of the enrollment period, they'll likely be a small ramp up, we don't expect there to be a significant change in health insurance, given what we're seeing with our advertising clients right now on the lockup period. So those are the two major drivers behind the reduction in performance this quarter.
Maria Ripps: Got it. That's, very helpful, Joe. And then my second question is sort of in the past, you talked about very high retention rate among your clients, can you maybe just update us on where your retention rates have been over the past couple of quarters, and just maybe talk about the pace and the process of new client acquisition in this sort of challenging environment?
Joe Marinucci: So we can see growth in the significant enterprise customers, albeit small in the quarter, and that looks back for a full year. So that's positive. And although I -- we've not measured the customer retention data, per se, for this call, or reported it as a KPI and earnings, generally retention rates have been pretty consistent historically, especially when you look at our top customers, I do not believe that there's a material change there.  As far as new customer acquisition goes, we have -- first of all we've established customer base, although they're spending less, especially in insurance. As many of our peers have reported, we still maintain strategic relationships with these customers, even with the SMBs. And even if they're not spending as in the answer to Marvin's question, those relationships still exist. So when things turn, we've made the investments in the people process and technology to see, spend, scale, back to historical levels with those customers.  And then on the other side, we're expanding and we're looking at the categories that are growing the business like Ecommerce and Consumer Finance. And we have added some new customers in those categories. And then we have the recent acquisition, which were early days there where we added the HomeServices vertical, where there certainly new customers coming in as a result of that. And then we have the International Brand Direct business, which also has new customers. So that's where our focus is.  So there are new customers to us retention customers for the acquisition, but we still treat them the same. There's opportunities to grow with them. That's really the focus of the business and of course the sales teams if there's opportunities out there, we're going to look to introduce new customers to the DMS Solution. 
Maria Ripps: Got it. That's very helpful. Thank you very much. 
Operator: Thank you, Ms. Ripps. Our last question is from the line of Jason Kreyer with Craig Hallum. You may proceed.
Cal Bartyzal: Hey, this is Cal Bartyzal here for Jason. Just a couple quick ones for me. Maybe first, do you anticipate any impacts in these recent CMS 48-hour rule changes?
Joe Marinucci: Hey, Cal, good afternoon. Good to have you on the call. We currently, we're in a lockup period, as mentioned to Maria, where there's not an enrollment period currently active except for exemptions. So we're working with our partners on how they plan to work with the 48-hour rule, we're going to have a collaborative process with the partners currently, we don't think that there's going to be a negative impact in terms of how it our ability to work with our advertising customers, it doesn't mean there won't be a change, it just means the revenue will be there. The process by which that revenue is realized, is likely going to be impacted to be determined, but we don't think it impacts revenue and its totality.
Cal Bartyzal: Perfect, that's helpful. And then maybe just last one for me, I know you kind of talked about some bright spots in Ecommerce and finance. And talking about going deeper and not wider to you just maybe highlight what's driving the growth in those bright spots, and maybe how you're trying to capitalize on those areas going forward? Thanks.
Joe Marinucci: Sure. So consumer finance, it's really outside of mortgage where we see the growth. And it's similar to trends we see in insurance, although that there's rate increases that need to pull through and carrier demand issues behind that. In consumer finance, you have consumers now aggressively price shopping for alternative solutions with their credit cards, personal lending solutions, other solutions like credit counseling and debt refinancing. So it's those products that see growth in a down cycle like this, where we're seeing the opportunity consumer finance with the advertisers as the consumer demand increases.  And then on the Ecommerce side, that's more general flight to safety. Digital performance marketing as they sit on the call, pure play from an ROI perspective. Our customers were de risking ad spend we're leveraging our data our technology our media reach so it's our ad dollars on the line. And we're matching them up with consumers with that effectively delivering them customers. So derisking ad spend for flight to safety and ad spend is what's benefiting us for the Ecommerce side
Cal Bartyzal: Perfect. Thanks so much.
Operator: There are no further questions at this time. This concludes today's conference call. You may now disconnect.